Operator: Good morning. My name is Chelsea, and I will be your conference operator today. At this time, I would like to welcome everyone to the Pangaea Logistics Solutions Second Quarter 2025 Earnings Teleconference. Today's call is being recorded and will be available for replay beginning at 11:00 a.m. Eastern Standard Time. The recording can be accessed by dialing 800-938-1601 domestic or 402-220-1546 internationally. [Operator Instructions] It is now my pleasure to turn the floor over to Stefan Neely with Vallum Advisors.
Stefan Neely: Thank you, operator, and welcome to the Pangaea Logistics Solutions Second Quarter 2025 Results Conference Call. Leading the call with me today is CEO, Mark Filanowski; Chief Financial Officer, Gianni Del Signore; and COO, Mads Petersen. Today's discussion contains forward-looking statements about future business and financial expectations. Actual results may differ significantly from those projected in today's forward-looking statements due to various risks and uncertainties, including the risks described in our periodic reports filed with the SEC. Except as required by law, we undertake no obligation to update our forward-looking statements. At the conclusion of our prepared remarks, we will open the line for questions. With that, I would like to turn the call over to Mark.
Mark L. Filanowski: Thank you, Stefan, and welcome to those joining us on the call today. Our results this quarter reflect continued disciplined execution of our business strategy. Despite a challenging and uncertain market environment, we delivered TCE rates that were 17% above the broader market, demonstrating the strength of our operating model. Our premium TCE performance during the quarter was primarily the result of our differentiated chartered-in strategy, which enabled us to capitalize on short-term market dynamics through flexible and cost-effective fleet deployment. For the second quarter of 2025, we reported an adjusted net loss of $1.4 million and adjusted EBITDA of $15.3 million. While average market rates declined 25% compared to the second quarter of last year, our ability to generate positive EBITDA underscores the resilience of our flexible cargo-focused approach. Total shipping days rose 51% year-over-year, driven by the addition of the SSI Handymax fleet of 15 ships as well as added days from chartered-in ships that supplement our own fleet providing operating margin arbitrage opportunities. Market conditions during the quarter were mixed. Larger vessel classes like Panamax and Supramax outperforms Handysize and the larger segments saw improving trends late in the quarter, driven by a strong South American grain harvest, which lifted overall dry bulk pricing heading into the third quarter. The industry outlook remains cautious due to geopolitical uncertainty driven by evolving U.S. tariff policies and global trade dynamics. These factors have caused some shippers to delay longer-term route -- trade route decisions. Despite these headwinds, we remain optimistic about the medium and long-term outlook for the dry bulk market, particularly within the dry bulk trades and geographic regions we serve. These markets are supported by sustainable demand and are relatively more insulated from the impact of tariffs, especially our geared segments, which participate in minor bulk commodities. Vessel supply growth may weigh on rates in the short term. However, the continued evolution of global emission standards and a steadily aging global fleet will reduce supply in the longer term. creating a favorable backdrop for supply and demand. For the third quarter of 2025, broader dry bulk market pricing has improved as we enter the seasonal peak in our Arctic trade activity. As of today, we booked 3,671 shipping days for the third quarter, generating a TCE of $14,272 per day. Our vertically integrated service offering, cargo-focused business model, coupled with our niche ice class capabilities position us well to continue delivering premium TCEs and value-added services that differentiate us from traditional dry bulk carriers. We're nearing completion of the expansion of our port and logistics infrastructure at the Port of Tampa. This project reflects our strategic commitment to grow our integrated logistics platform and build a business that is less sensitive to market rate volatility and more aligned with the long-term customer needs. Additionally, we'll start new terminal operations in Texas, Louisiana and Mississippi in the next few months. And we recently completed the purchase of our remaining 49% equity stake in Seamar management, our technical operations platform, enhancing our ability to control our technical operations. Lastly, we've initiated a financing process for 2 unlevered ships and sold our strategic endeavor. Gianni will provide more detail shortly, but these moves reflect our proactive approach to optimizing our cost of capital, preserving balance sheet strength and allowing us to be more opportunistic in fleet renewal. Our long-term strategy remains focused on disciplined capital allocation, prioritizing fleet optimization, returning capital to shareholders and maintaining a strong, flexible balance sheet. With that, I'd like to turn the call over to Gianni to review our second quarter financial results.
Gianni Del Signore: Thank you, Mark, and welcome to those joining us on the call today. Our second quarter financial results were highlighted by sustained TCE premiums relative to the prevailing market as we capitalize on short-term market dynamics by utilizing our chartered- in strategy. Second quarter TCE rates were $12,108 per day a premium of approximately 17% over the average published market rates for Panamax, Supramax and Handysize vessels in the period, which was driven by our chartered-in strategy and the efficiencies created by our expanded fleet. Our adjusted EBITDA for the second quarter was $15.3 million, a decrease of approximately $600,000 relative to the prior year period. Our adjusted EBITDA margin decreased from 12.1% last year to 9.8% in the second quarter of 2025 as a result of lower market rates. Our total charter hire expenses decreased by 4% compared to the second quarter of 2024, primarily due to a 31% decrease in prevailing market rates, partly offset by a 35% increase in chartered-in days. Our charter-in cost on a per day basis was $11,813 in the second quarter of 2025, a decrease of approximately 29% year-over-year. Through today, we've booked approximately 1,443 days at $12,653 per day for the third quarter of 2025. Vessel operating expenses increased by approximately 59% year-over-year, primarily due to the acquisition of the SSI fleet, which increased total owned days by 66%. On a per day basis, Vessel operating expenses, net of technical management fees decreased from an average of $6,246 per day to $5,876 per day in the second quarter of '25. Total general and administrative expenses increased by 43% from $5 million to approximately $7 million. The increase was primarily due to the consolidation of our technical management operations, which resulted and $1.8 million in expenses being recognized in G&A, which were previously recognized in vessel operating expenses as technical management fees. In total, our reported GAAP net loss for the first quarter was $2.7 million or a loss of $0.04 per diluted share. When excluding the impact of the unrealized losses from derivative instruments as well as other non-GAAP adjustments, our reported adjusted net loss attributable to Pangaea during the quarter was $1.4 million or a loss of $0.02 per diluted share. Moving on to cash flows. Total cash from operations increased by approximately $5 million year-over-year to $14.4 million, primarily due to an increase in cash provided by net working capital. At quarter end, we had approximately $59 million in cash in total debt, including finance lease obligations of approximately $376 million. During the quarter, our overall interest expense was $5.7 million, an increase of approximately $2.6 million due to new debt facilities entered into during the second half of last year and from the assumed debt and finance leases associated with the SSI acquisition. As Mark mentioned, subsequent to the end of the quarter, we have begun the process of financing the strategic spirit for $9 million payable over 7 years to $1 million and an interest rate of SOFR plus 1.95% and the strategic vision for $9 million payable over 5 years to $3.6 million and an interest rate of SOFR plus 1.95%. The financings are expected to close in August 2025 and September 2025, respectively, giving us additional cash of $18 million on our balance sheet. In addition, we executed on our share repurchase program announced in May, repurchasing approximately 203,000 shares during the second quarter at an average price of $4.96 per share. Since quarter end, we bought back an additional 135,000 shares, bringing our total to approximately 338,000 shares. Our share repurchase program complements our dividend policy and underscores our commitment to returning capital to shareholders in a disciplined and balanced manner. Looking ahead, our capital allocation priorities remain unchanged. We are committed to maintaining financial flexibility while pursuing a balanced return of capital to shareholders. In addition, we continue to invest selectively in high-return opportunities across our logistics and stevedoring operations and remain focused on the ongoing renewal and modernization of our fleet, prioritizing capital-light initiatives that support long-term competitiveness and compliance. With that, we will now open the line for questions.
Operator: [Operator Instructions] And we do have a question from Poe Fratt with AGP.
Charles Kennedy Fratt: Good morning, Mark. Can I just ask you about the asset sales? It looks like you might be -- there's an asset held for sale on your balance sheet. Can you just explain what that is please?
Mark L. Filanowski: That's the -- our former strategic endurance.
Gianni Del Signore: Endeavor.
Mark L. Filanowski: Endeavor, I'm sorry, strategic endeavor. We took that ship in with the 15 Handyships. It was the oldest ship we acquired and the smallest ship. So we thought that it was a good time to move it out of the fleet and begin to look for a replacement when we think it's time to buy.
Charles Kennedy Fratt: And from that comment, Mark, it sounds like it's not time to buy right now. Can you just talk about the S&P market?
Mark L. Filanowski: Mads is a little closer to the S&P market than I am. So I'm going to give him much chance to talk to you about that Poe.
Mads Rosenberg Boye Petersen: Thanks, Mark, hi Poe. The way we look at that on the decision on the strategic endeavor is also -- has been usually the case with us is that, that ship was coming up against a special survey. So at that point, we sort of evaluate whether that -- what we think makes the most sense in terms of investing the money, in putting the ship through a special survey or selling it and taking that cash and be ready to redeploy it when we feel the time is right. We probably agree with you that because of a lot of macro uncertainty at the moment, we are not sort of -- the feeling that, that will happen straight away, but we are always looking at ships, of course, and looking at candidates and we're a little bit picky when it comes to the shifts we would like to have. So we're not going to rush out straight into anything. We don't believe that there is sort of a very compelling reason to do that when we look at asset values and also where the markets are trading at the moment.
Charles Kennedy Fratt: Okay. And then in your prepared remarks, you talked about decisions on certain routes getting deferred. Can you just maybe give us a little more color on whether -- which specific markets or which routes you're seeing some decisions pending because of the macro uncertainty?
Mark L. Filanowski: We had some movements from the Far East to the U.S. earlier this year that we had some contracts committed on. And shipper said, we've just got to take a pause here for a minute and see what's happening. And that's sorted it out over time. The potential tariff rate came down, and that movement became profitable again. And so we began to make those moves again. So it's moved things like that, that would will cause -- I think it's certain that supply lines will change. And nobody's really certain how much that will change. But shipping thrives on our dry bulk shipping, especially it thrives on uncertainties and inefficiencies and these create opportunities for us. So we're out there looking for those opportunities. We're all over the world on these days. We've got a larger fleet. We're putting more ships in the Pacific to capture some of these possibilities.
Charles Kennedy Fratt: Great. And then on the Port Logistics, it seems like you're doing more organic just incremental investments in that business. Can you just talk about whether there are potentially any acquisition opportunities that are on the horizon?
Mark L. Filanowski: So, we've always focused, Poe, on areas where we can get more involved in more than just moving cargo on or off a ship. We want to try to participate in the ocean transportation also. So that's what we've tried to do is focus on certain routes, certain customers, certain commodities that fit our ships. So to go out and buy a big terminal at this point, really doesn't fit our objective. We've done it all organically. We've done it through mostly through leases and port licenses not buying a lot of -- not buying real estate, which is the real expensive part of the deal. There are companies out there that are -- have much bigger footprints than we do, but that would get us involved in areas where we can't make that direct link with our ocean transportation and has a little bit of center for us. Maybe the time will come when we've built up our own business, and it is time to take that next step and set up a totally separate leg of the company. But right now, we're trying to keep things related. We see the best for us in that way.
Operator: [Operator Instructions] And at this time, there are no further questions in the queue. So I'd like to turn the call back over to Mark for any additional or closing remarks.
Mark L. Filanowski: Once again, thank you for joining our call. Should you have any questions, please feel free to contact us at investors.pangaeals.com, and a member of our team will follow up with you. This concludes our call today. You may now disconnect.
Operator: Thank you, ladies and gentlemen. This concludes today's presentation, and we appreciate your participation. You may disconnect at any time.